Operator: Welcome to the conference call. [Operator Instructions] Now I will hand the conference over to the speakers. Please go ahead.
Paivi Antola: Good afternoon from Helsinki, and welcome to Nokian Tyres Q4 and Full-Year 2024 Results Call. My name is Paivi Antola and I am from Nokian Tyres Investor Relations. And together with me in the call, I have Paolo Pompei, the President and CEO of Nokian Tyres; and Niko Haavisto, the CFO. Paolo, this is now your first results call in Nokian Tyres. I would like to warmly welcome you to Nokian Tyres.
Paolo Pompei: Great. Thank you, Paivi. Thank you all the Nokian employees who are actually giving a warm welcome in the company since I joined at the beginning of January. Before to start, and really -- I would like to really say thank you to my predecessor, first of all, because obviously, Jukka Moisio led the company, retired from the company at the end of the 2024. I think he has been excellent in driving the company in extremely difficult time. And what we have today, what we have to -- the opportunity to leverage today is a much better platform than what it used to be. So I'd like to thank him and praise him for the great contribution, and I'm honored actually to be able to carry on his journey today.
Paivi Antola: Thank you, Paolo. And it's now been a bit more than a month that you have been leading the company. It's a new company for you but also a new country to live in, how have you adapted to Finland and finished winter weather?
Paolo Pompei: Okay. Yes. Well, I think the weather was extremely kind with me so far. And now, I mean, ready to get a smooth transition in Finland, and now today I'm a proud citizen of Helsinki and I know the very good restaurants that are around the city. So I think I will have nice time here in Finland and I'm looking forward actually to carry out this journey here.
Paivi Antola: So, is there anything that has surprised you so far?
Paolo Pompei: Not really. I mean about the -- I think I know Nokian Tyres since 20 years, because obviously coming from the industry I had the opportunity to look at Nokian Tyres many, many years in the past. And I was always impressed by really the great development that we've been watching in the last few years. Nokian Tyres has been always a strong leader in particular in high performing segments like winter tires, which is demanding of the extremely strong performance and has been always a leader in sustainability. But I was also very impressed by the way Nokian Tyres was able actually to manage the reorganization after the crisis in Russia to build a new successful platform for the future. So I think this is really what made me extremely enthusiastic to be part of the team today and to be -- to start to work with the Nokian Tyres teams on our future.
Paivi Antola: And anything now after four weeks, your first impressions of Nokian Tyres as you know the company from the past but in that sense? Any surprises or...?
Paolo Pompei: As I said coming from the industry, I knew the company quite well and looking from outside, I think I can confirm really the deep strong focus on performing products and extremely demanding applications and with an extremely demanding weather condition, the extremely strong focus on sustainability, which is making this company some ways unique looking at the future. So really nothing particularly new, and actually I found more exciting things to leverage for the future than what I could see from outside.
Paivi Antola: If we then look a little bit to the future, the next coming weeks -- coming months, what are you focusing on first? What are you -- what are going to be your first priorities?
Paolo Pompei: I think the agenda is quite clear. So the first priority is to accelerate the startup in Romania, which is obviously our new manufacturing platform, which is really the one that we deliver growth in our future journey, complete obviously the development of the North American operations were actually this year which has completed the startup phase in some ways at expansion phase. And then of course we will focus together with the Nokian Tyres team on efficiency productivity, because obviously we have now a new platform and we need to make sure this platform is more productive and more efficient for the future. Last but not least, consumer focus. I mean, we have now the opportunity really to bring together a strong brand in particularly new markets we are already quite strong into Nordics, but we have huge opportunities in Central Europe as well as in North America. And it is going to be our main challenge and the main opportunity for the future.
Paivi Antola: So you now have these 30-plus days behind you and always that's to talk about the first 100 days. But when do you think you will be ready or the company will be ready to share more on the strategy and the company's future direction.
Paolo Pompei: I think we will be ready very soon probably March already after 80 days. So, obviously, we look forward to plan accord where we can actually explain our way forward a little bit more in details. But again, the transition time with newcomers was given me the possibility to actually to step in and to be immediately up to speed from day one. So we will come back to you very soon.
Paivi Antola: Thank you, Paolo, for these words and this information. And now it's time to go to the actual presentation and talk a little bit about 2024 and the last quarter of the year. And Paolo, please go ahead.
Paolo Pompei: Thank you, Paivi. And of course we start with the headline which is solid growth driven by Central Europe in 2024. And of course, North America was challenging delivering it a very soft quarter. And the Romania factory will be getting ready for time deliveries very, very soon. But I want to start moving to Page number 2 with the picture of where we stand today. And I really care about this, because I believe that today as I mentioned in the introduction we have strong line platform than before. Today we are much bother about having in the passenger car business, three manufacturing facilities that are meeting very well our local-for-local business model. Of course, we are still in a sort of start-up phase. But again, I believe this platform will give us the possibility to expand our operation and to create a business model that is more agile and closer to our key consumer and customers. We are a premium tire brand in Nordic countries, but we have strong ambitions in terms of growth both in North America as well as in Central Europe. We are focused really on high-value segment in particular in a demanding application like winter tires, but also now developing fast on the all-season business too. Strong, strong focus on sustainability probably one of the most leading company the tire industry focus on sustainability and we're really proud about this -- our sustainability plan that is part of our DNA €1.3 billion more or less business in 2024. More than 50% of our business is in car tires. As you can see heavy tires including truck tires is representing 16% of our sales in the Vianor is made in the Nordics, actually 100% in the Nordics and is representing 28% of our total sales. As you can see from this graph also, Nordics is representing 50%, more than 50% of our sales 54% to be precise. But obviously, we have great opportunities of growth and we are growing fast in Central Europe again and in North America in particular. Moving to Slide number 3. Well, the 2024 was in some way a challenging year, but of course it was strong in terms of performance when we talk about sales in a challenging market considering that the factory in Oradea is not yet up running for commercial sales. We've been delivering new products. We have improved our deliveries and our availability, and of course, we made good progresses with the strategic investments adding capacity, as I said, at the beginning Oradea is the first zero CO2 emission factories in the world. And then of course, we have just completed the investment phase in North America factory in Dayton. We did a great step forward where we talk about sustainability. In particular, I want to mention the recognition of the Platinum Medal for our EcoVadis certification, putting us in the range of the 1% of the companies that are able to get this kind of certification. And now, I will invite Niko to move on to Page 4.
Niko Haavisto: Yes. Thank you, Paolo. So First, on the full year numbers, as Paolo said, solid growth in terms of top line last year, the growth was a little bit over 10.5%, in comparable currencies, i.e. will land it on comparable currencies. It's €1.3 billion. Segment EBITDA, €185 million, which represents roughly 14.4% from the sales. And as you know, there is a target of reaching the level of 25% during this strategy period, this is still valid, as we speak. Segment's operating profit for the full year, €71.4 million. And of course, that's driven by the volume and then lower raw material costs, in the full year numbers. The Board is proposing a dividend of €0.25 per share, through the AGM to be held in May and then paid also full in one installment, in May. On the Page 5, more on the quarter numbers. So there we see, that there was a clear increase in terms of net sales, a little bit over 13%. And this mainly came from the Central Europe, which is in line with our strategy. EBITDA of €67 million and then on the operating profit level of €36 million compared to prior year's €44.5 million. And the decline is due to our lower ASP, which are mainly related to the mix. And then, we've said that we had higher operating expenses, in Q4. On the Page 6, I think I would like to point out, a couple of numbers here. One is, of course, the equity ratio, we are still on a healthy above 50% level to be exact here, 52.5% on equity ratio. And then on the net interest -- interest-bearing, net debt €613 million. And at the same time, we invested in our -- mainly to Romanian i.e. Oradea factory and then finalizing the Dayton investments and that amounted total to €350 million. On Page 7, we go through the segments. So Q4, once again, good achievement in terms of top line. It comes mainly from the Central Europe. But of course, disappointing was the mix and then the higher operating expenses there. So, we landed in terms of operating profit for the quarter roughly €40 million. And with percentage, 5.7% for that quarter alone. If you take a look at the bridges, we see that once again the volume there on the top part of the graph, the net sales the volume is there a good increase, but then on the price and mix of course, there is a negative number more to the segment's operating profit. So, that was affected by both in the price and mix, but also the material costs for the Q4 were giving us the headwind. Then, I move to PCT passenger car tires, quarterly changes. And there you see, I'm looking at the center of the graph there, if I look at the price and mix. So in Q3, we were at the level of minus 11%, now at minus 8% and this is a trend that we need to change going forward. The currencies didn't play any big growth in last year's numbers. Moving to the heavy tires. I think, this is something that we can be really proud of. So in a weak market throughout the year, but also especially even with the similar volumes than last year Q4 we managed to do a operating profit of 14%. And especially, there the OE market was weak, but we managed to have sales good sales profitable sales in the aftermarket. So I think this is something that we are really, really proud of. Then finally, last segment Vianor, their sales performance was good if looking at Q4. Operating profit was less than last year. That's a margin thing. And this is something we said all along last year that we need to improve the profitability there and we've taken actions during the year, but that will take some time to materialize in the full numbers. But as such, the Q4 was solid for Vianor. Then I'll move to the guidance. So we gave guidance for this year i.e. 2025. So we say that, our net sales are expected to grow and the segment's operating profit as of percentage of net sales to improve compared to 2024. And then you see the assumptions that we are facing our guidance there as well. And with this, I hand over to Paolo.
Paolo Pompei: Thank you, Niko. We are now in page 13. Of course, let's look at the -- now in some way of the future, I mean, we have a premium brand with -- that is delivering superior performance in extreme condition, and we are obviously working very hard delivering continuously innovation in our own products, and we will have new products coming out this year that we would be proud to announce later on in our journey. Of course, 2024 we've been able to actually deliver many new projects, as I said in particular, I want to mention, our Seasonproof one that is an all-season tire for the Central European market that has been developing our sales as you can see from the figures illustrated by Niko quite well so far, gaining a lot of new opportunities. Then of course, we have for the North American market an all-weather tire the Nokian Tyres Remedy WRG5 which has also been released recently. And then of course, also the heavy tire industry the Nokian Tyres Soil King has been always a good add-on to our product range for servicing high-power tractors in the industry. But what I really care about is really about the slide number 15 that is illustrating, our manufacturing footprint the way that we are shaping our manufacturing footprint for the future, because this will give us the possibility to be extremely close to our consumer and customers. And at the same time to leverage, a manufacturing footprint that is giving us the possibility to be more agile and to respond to market demand considering the geopolitical situation that is affecting that is actually affecting the world at the moment, we can see that really having such a diversified manufacturing footprint will give us the possibility to be less vulnerable to market fluctuations. So we will have 25% of our production output by 2027 that will be delivered by our American factory in Dayton. We will have 25% of our output that is going to be released by our factory in Nokian, who has been actually reinforced in terms of capacity in the last couple of years. And then of course, Oradea Romania will absorb the 40% of our total production capacity giving us the possibility to service real time really the Central European and Southern European market share. We will keep using our partners to support Nokian Tyres in the future, whatever we have gaps, or whatever we need to really leverage also the support of additional capacity when it's needed. So this setup will really give us the possibility to manage more efficiently our future growth. I mentioned the Romania factory. I mean, of course today we are employing 300 employees on-site. And we should be able to start deliveries pretty soon. Obviously we will make an announcement as soon, we will start delivering in the next few months. Also very important Slide 17, we are obviously moving forward in our journey, when we talk about sustainability. We are just mentioning, a few examples of our strong effort in achieving our own targets long-term targets. First of all, I mentioned at the beginning the Platinum Medal with EcoVadis that is really something we are proud of, putting Nokian Tyres in the top 1% companies that were assessed by EcoVadis. Then of course in a new greenhouse gas reduction targets, we have contributed and we have agreed about our own long-term targets with The Science Based Targets initiative that are obviously contributing to reduce the global warming by 1.5%. And last not least, I mean, we keep our journey in building products that are obviously increasing the percentage of renewables as well as recyclable materials to 50% by 2030. This year we will have good news about the new regions product that we are going to launch in the Central European market that are actually almost meeting this requirement. And of course we are cooperating with the partners. In this case, I want to mention the partnership with UPM, using a renewable lining based material that is obviously giving us the opportunity to replace fossil-based carbon black. And at the same time the partnership that we have activated with Reselo, that we are able actually to use material from birch bark that are replacing also in this case fossil-based materials. Moving to Slide 18, I would like to mention something that we just announced this morning, that we are also changing our operating model, adapting the company to the next step of growth and operational excellence. The new organization that we are launching at the moment, will give us the possibility to keep our leading position in the Nordics, but at the same time to increase the focus on strategic markets like Central Europe as well as North America. Also, having the member of the management team, as part of these regions in the management team will drive the agenda of the management team to a higher focus on generating consumer demand long-term. And of course the new organization is set also to, now to start to leverage the synergies that are coming from our new manufacturing footprint and also the synergies that are coming from operational excellence in everything we do day-by-day. Moving to Slide 19, just the graphic illustration of the new organization, as it looks like at the moment. So we are basically splitting the passenger car tire business area in three divisions Nordics, North America and Central Europe that will be actually part of the organization reporting directly to me. And then, of course, we will keep Heavy Tyres and Vianor as also independent sales organization. At the same time, we will have global function. And I would like to highlight two main changes in this organization chart. One is the creation of a global manufacturing function that will take care about all our manufacturing facilities, making sure that we are able to allocate resources and generate synergies from our manufacturing footprint of today. The second one is the, reinforcement of the marketing and communication function that will be one key function for developing our brand value proposition in the market in particular, as I said the new market like Central Europe and North America. And we'll operate obviously across the company, supporting the company to increase the value of our brand. Also, I would like to take this opportunity to thank you Päivi, because as you can see from this slide we are splitting the Investor Relations function with the marketing communication function. And Päivi obviously will lead the company and that probably will be your last call. So presenting the organization, I would really like to thank on behalf of the company for such a long service and for your support actually, in the last seven years that has been extremely valuable. And, obviously, we wish you all the best for the continuation of the journey. Obviously, we will integrate the Investor Relations in the finance function as you can see from this organization. And then, of course, as I said before the marketing communication function will be reinforced at a global level. So moving to slide 20, key priorities for 2025. It's really about driving growth that is coming from new products. So, we have a very nice agenda in front of us thinking about new products and of course products that are really driven by the necessity to generate value for the consumer. Great opportunity to ramp up the factory in Romania in the next few months, and this will give us as I said, several times in this call the possibility to leverage finally manufacturing footprint that is fully integrated and agile at the same time. And then, of course, it's time really to focus on more productivity and more cost efficiency as a result of all the investments that we made in the last few years in the company. I'm closing on slide 21 that is, obviously, reminding everyone our purpose that is to make the world safer by reinventing the tires and the way they are made over and over and again. And as a newcomer in the company I can confirm this is really part of the spirit of our team to think about how we can do things differently, how we can innovate more, and how we can be successful -- successfully addressing the future needs of our consumers and customers.
Paivi Antola: Thank you, Paolo. Thank you, Niko. And now we would be ready for the questions from the audience please.
Operator: [Operator Instructions] The next question comes from Akshat Kacker from JPMorgan. Please go ahead.
Akshat Kacker: Thank you for taking my question. Akshat from JPMorgan. Welcome Paolo. I have three questions please. The first one on your dividend policy, I just want to clarify that the proposal of €0.25 per share is the final consideration for 2025, or like in the last few years you could consider a second dividend payment later in the year? That's the first question. The second question is on the passenger car margin in Q4. You mentioned that you have seen higher operating expenses impacting the business in Q4. Is it possible to quantify the share of one-off costs or one-off charges that impacted the quarter specifically please? And the last question is on your expectations for total CapEx net of subsidies, as well as free cash flow for the business in 2025 please? Thank you so much.
Niko Haavisto: Yeah. Starting with the dividend. So our dividend policy as such has not changed. The Board, of course, consider thoroughly the dividend what they are proposing to the AGM and the proposal is the €0.25 and that is the proposal. So there is no additional dividend proposed for the 2025, i.e., the €0.25 is the proposal. And then if the AGM decides, so it will be paid in May. So one installment, €0.25.
Paolo Pompei: Yeah. Maybe I can reply about operating expenses. As you can clearly see we are now rebuilding our organization after the exit of Russia. Obviously from Russia we had to adjust our operating model. But now it's really time to invest on our future. So the majority of those operating expenses are related to our activities necessary to rebuild the organization in particular in Central Europe at this stage. And CapEx?
Niko Haavisto: Yeah. And the CapEx. So CapEx, we are estimating roughly €200 million in this year and then that would conclude our investment phase end of 2025. On the free cash flow, I don't want to comment at this point, but the CapEx is the €200 million roughly.
Akshat Kacker: Thank you for that.
Operator: The next question comes from Artem Beletski from SEB. Please go ahead. The next question comes from Thomas Besson from Kepler Cheuvreux. Please go ahead.
Thomas Besson: Thank you. Hi. It's Thomas Besson. I have a few questions as well, please. Could you maybe help us understand the impact of contract manufacturing, on your operating profit in 2024 and maybe as well in 2023? I think most people on that call thought that, your margins would actually move up from a low point in 2022 and progress and they are actually going backwards. So I'd like to try to understand that better. And maybe this is linked with a higher proportion of contract manufacturing. Do you mind sharing this kind of information with us, please? That's the first question. Second question, could you please talk about the amount of adjustments you expect in 2025? I mean, you have a high amount of -- a very big gap between your, operating profit which for me is the right measure to look at? And what you call your segment operating profit. Should we expect the gap between both metrics to close or to have a similar gap, please? And then, last question, I'd like to understand or maybe you can share more information on this. Did you see a deterioration of your winter tire margins in 2024, because basically the market was very supportive to say the least in Europe in Q4. And it comes therefore as a decent surprise to see you report a negative operating profit in passenger cars. Thank you.
Paolo Pompei: Thank you for the questions. I will start with the first question, about the contract manufacturing. Contract manufacturing are supporting in particular segments that are of course related to summer tire in particular. So obviously, when we think about margins we should not expect the contract manufacturing really to change our picture. As you mentioned correctly in the last question, winter tire is really what is driving obviously our profitability for the future. So contract manufacturing is supporting is helping, and of course the margins are quite good. But of course let's remember that they have an impact on the mix at the same time. So the product mix is obviously affected by contract manufacturing sales. About the adjustment, Niko?
Niko Haavisto: Yeah. If I understood correctly the question was about, the kind of exclusions and we had roughly €70 million last year, so the expectation of course that we are closing the gap. So it's less than -- hopefully much less than €70 million. But at the same time, it of course depends on the speed of the ramp-up we are doing in Oradea. At the moment we are thinking those are the kind of the exclusions that we will make to 2025 numbers.
Paolo Pompei: I will take the last question about winter tires. You are absolutely correct. The winter tire was great. And it was great for us too. Actually we were able to grow and gain market share in that. Please, let's always remember that, this year finally we were able to get back also to the all-season and summer tire segment. So again, from the mix point of view we see an average price going down. But of course, because the all-season and the summer tire segment were growing faster being relative new again in our product range than the winter tire segment. But the winter tire segment was strong, was good and we were able actually to gain significant market share.
Thomas Besson: Thank you.
Operator: The next question comes from Artem Beletski from SEB. Please go ahead.
Artem Beletski: Yes. Good afternoon and thank you for taking my question. Let's try again. So I would like to ask on prospects for this year and maybe some parameters what you're looking at. So when it comes to volume development, what is your target in terms of Romanian production this year and whether you can increase volumes elsewhere? And then also looking at price/mix versus raw material development. So the number was clearly negative in Q4. So do you have any view on how it looks like for this year? Then the second question is relating to Romanian factory ramp-up. So do you have any number in mind at this stage what one-off costs could be this year relating to it? And the last one is just looking at your balance sheet situation. So net debt to segment EBITDA I think was more than three times at the year-end. I guess this year EBITDA should be growing and drives the metric down but do you see any bigger opportunities when it comes to working capital and inventories for example?
Paolo Pompei: Thank you for your question. Let me start with the Romanian factory. Obviously, we don't disclose precisely the number because of confidential reason, but Romania will start to contribute significantly to our global manufacturing volume so already this year. Then of course, we are waiting at the moment for the final commercial permit and then we can start really also delivering tires into the market. About the prices versus raw material of course, we are always projecting profitable growth. And of course, we are always making sure that we compensate inflation in our pricing model. So this is what I can tell you obviously, without anticipating obviously details that we cannot disclose for obvious reasons. And about EBITDA margin?
Niko Haavisto: Yes. So the question related to net debt to EBITDA. So the target is on a longer-term to be between one and two times net debt to EBITDA. And this company will as we've said several times will have a debt on the balance sheet going forward as well. The thinking of course is that the ratio is not similar that it was at last year's end i.e., as you said, that increasing of course the EBITDA. And in terms of net working capital, that is something that we are looking at constantly that what are the things there we can do both in terms of the inventories, we said in the guidance as well that we have good level of inventories so we can support the market from the inventories and the receivables were at the level of €270 million at the year-end. Then at the same time if and when we are growing the business what we can do there in terms of the real numbers we'll need to see. But I cannot say that definitely we will have certain type of net working capital. But of course, it's something that we will constantly monitor and we need to start to produce actual cash flow. So that is a clear target for the company.
Artem Beletski: Okay. Great. Thank you.
Operator: The next question comes from Miika Ihamaki from DNB Markets. Please go ahead.
Miika Ihamaki: Hi. This is Miika from DNB and welcome also Paolo. Question, you mentioned in the last quarter that you see relatively good momentum in Nordics, good momentum in Canada, despite warm weather perhaps elsewhere in North America, and yet sales remained flat in both regions in comparable terms. So can you really explain what – was this in line with what you expected? And what caused the sort of flat performance?
Niko Haavisto: Yes, I think it's fair that I take this question. So, I think the Nordics performed as we were expecting, both in terms of the volumes and the kind of ASP as Paolo said as well. But -- and Canada I think somewhat -- but I think it's the North America in general that was a disappointment as we say in the release. But there are things that we are doing to be better going forward there but that was a disappointment.
Miika Ihamaki: And perhaps if you can just list what are really the key drivers for your 2025 guidance expecting margins to improve? What should we think?
Niko Haavisto: So, like there was in Paolo's slides as well that we need to be better in terms of the efficiency what we do at the factories and now under one kind of Director as well going forward. And also that means that raw material prices we need to be better in our purchases and in the procurement as such. So, I think it's all of that and nothing else.
Miika Ihamaki: Okay, that’s all from my side. Thank you.
Operator: The next question comes from Samu Wilhelmsson from Nordea Markets. Please go ahead.
Samu Wilhelmsson: Thank you for taking my question and welcome also Paolo, happy to see you on board. Maybe just a brief question. You already provided some details regarding the changes in the product mix and the key drivers behind that most of the contract manufacturing. But are you able to disclose us any details that what was the share of [Technical Difficulty] in Q4? We know that you disclosed the figure for the full year, but are you able to give details in Q4?
Paolo Pompei: Yes, we don't disclose precisely how much is the percentage of the contract manufacturing, but obviously to give a guidance, I mean we can be around 10% of our total volume. That is more or less the guidance at this stage.
Samu Wilhelmsson: But in addition to the contract manufacturing overall sales of winter tires both contract and Europe manufacturing in Q4.
Paolo Pompei: When we talk about winter tire, we're mainly manufacturing in our own manufacturing facilities in Nokia when we talk about premium winter tire.
Samu Wilhelmsson: Okay.
Operator: [Operator Instructions] The next question comes from Joonas Häyhä from OP. Please go ahead.
Joonas Häyhä: Hi, Joonas from OP Financial Group. Thanks for taking my question. Firstly, just to clarify the ramp-up costs. You had still some ramp-up related costs in the U.S. Can you clarify what these were in Q4? And are you expecting this to end going forward? This would be the first one. And then the second one related to the margin in during the Romanian ramp-up phase so in 2025 and 2026. I recall you previously said or expected that the segment's EBIT margin should be in the high single-digits. So, can you please comment on -- or any updated views on this one please?
Niko Haavisto: Yes, on the U.S. ramp-up cost. So, I think there was some type of a misleading kind of communication during the year, i.e. when we said that we finished the kind of finalized the U.S., but then we meant at that point and I have been trying to correct as well that we did finalize the finished goods warehouse there during the summer, but we were still in the ramp-up phase in terms of production throughout the last year. Of course hoping as much as you guys are there on the other end of the line that we will not have any ramp-up type cost in the U.S. So, that everything has been installed and then we are running that full speed as we are doing at this moment. Then when it comes to the margins, I think that is still what we are targeting, but one needs to refer to our guidance there. But of course, we are not deviating anywhere from the kind of the longer strategic horizon where we said, what the margins will be.
Q – Joonas Häyhä: All right. Thank you.
Operator: The next question comes from Thomas Besson from Kepler Cheuvreux. Please go ahead.
Q – Thomas Besson: Thank you. I have two follow-up questions, please. First, can you please comment on the evolution in 2025 of your P&L and cash net interest and net tax expenses, please? That's the first follow-up question. And the second, you talked about the local to local strategy, looking out with the ramp-up of Romania helping in that direction. In 2025, what share of your cars are moving from Europe to North America or maybe in 2025 – 2024, sorry, what was the share of cars sold in North America that came from other regions, please?
Niko Haavisto: So the first question was the interest expense. So there, we are roughly somewhere around €35 million in terms of interest. And then on the taxes, I think we are going -- not on a cash flow base, but kind of on a P&L base, we are going towards the 20% tax rate in this company. We have as you see in the balance sheet, some deferred tax assets that we can of course, release to against that tax cost. So the actual cash out will be less than the 20% from the profits. But I don't want to comment, an exact number here, in terms of cash taxes.
Paivi Antola: Thomas, could you repeat the second question, please?
Q – Thomas Besson: Of course, the second question was, what proportion, how many units or what was exactly the volumes sold in North America that came from Europe in 2024? Or what do you expect to be in 2025?
Paolo Pompei: We don't disclose precisely. I can tell you that obviously, the winter tire, that we supply from our own factories in Nokia are going to North America. And then of course, North America then is self-sufficient when we talk about the other part of the range. But all the winter tires are today supplied by our factory in Nokia in Finland.
Q – Thomas Besson: Can I ask you, if it's possible to add your presentation on your website? Thank you.
Operator: There are no more questions, at this time. So I hand the conference back to the speakers for any closing comments.
Paivi Antola: If there are no additional questions, it's time to finish the call and the presentation should be on the website already, so you can find that there under Investors. But, let's finish this call. Thank you all for participating. Thank you Paolo, for this first call and thank you Niko. Have a good day.
Paolo Pompei: Thank you very much.
Niko Haavisto: Bye.
Paivi Antola: Thank you. Bye-bye.